Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Stepan Company’s First Quarter 2014 Results Conference Call. During the presentation all participants will be in a listen-only mode. Afterwards we will conduct a question-and-answer session. (Operator Instructions) As a reminder, the call is being recorded, Wednesday, April 30th, 2014. I would now like to turn the call over to Scott Beamer. Please proceed.
Scott Beamer: Thanks you. Good morning and thank you everybody for joining the Stepan’s Company’s first quarter 2014 financial review. Before we begin, please note that the information in this conference call contains forward-looking statements, which are not historical facts. These statements involve risks and uncertainties that could cause actual results to differ materially including, but not limited to the prospects of our foreign operations, global and regional economic conditions and factors detailed in the Company’s Securities and Exchange Commission filings. Whether you are joining us online or over the phone, we encourage you to review the investor slide presentation which we’ve made available at www.stepan.com under the Investor Relation section of our website under Presentations. In general, we’ll plan to release a slide presentation along with each earnings release in the future and we hope that you find the additional information and perspectives helpful. With all that being said, I’d like to turn the call over to F. Quinn Stepan, Jr., our President and Chief Executive Officer.
F. Quinn Stepan, Jr.: Thank you, Scott and thank you all for joining us today. As anticipated the first quarter of 2014 was challenging. Severe weather in North America significantly impact net income for the quarter. Net income for the first quarter was $13 million, down $6 million from last year, a very poor start. However, we expect earnings from operations to improve versus prior year for the remaining nine months. As we mentioned in our fourth quarter earnings conference call on February 19th, we experienced a slow start to the year with severe weather impacting customer locations, transportation and logistics and some of our own facilities in North America. We also anticipated that surfactant earnings were expected to be down under first quarter due to this extreme weather and higher maintenance expenses. Unfortunately, the weather did not improve until mid-March and impacted net income for the quarter by at least $5.2 million. Surfactant volumes were challenged in the first quarter, which more than offset higher selling prices. March was much better than January and February and April should be another good month. However we will be challenged to exceed 2013 full year earnings. Despite the disappointing first quarter results, we continue to make progress on our strategic initiatives, specifically recent investments in Brazil, Singapore and Europe and European polymers along with our 2013 polyester resin acquisition in Columbus to Georgia, all delivered significant growth. Our balance sheet remains strong and we continue to pursue further investments and opportunities to improve efficiency, accelerate earnings growth and deliver greater returns for our shareholders. Lastly, our Board of Directors has declared a quarterly cash dividend on Stepan’s common shares of $0.17 per share payable June 30th, 2014. In the fourth quarter we increased our quarterly cash dividend by 6% marking the 46th consecutive year of paying increased dividends. At this point, I would like Scott to walk through Stepan’s first quarter results.
Scott Beamer: Thanks Quinn. Total net sales for the first quarter were $477.4 million, up 5% versus prior year due to higher selling prices across all three segments, which was partially offset by the lower sales volume. Specifically, selling prices were up 7% while volume decreased 2%. The selling price increases are mostly from contractual changes to selling prices which correspond to changes in our raw material cost. In other words, when our raw material cost increase in some cases, we are able to pass the increase along. Regarding volume, the surfactant segment’s North American operations were significantly impacted by the severe and prolonged winter weather, as well as a few issues which will be described later. This was partially offset by the volume growth in polyols and from the incremental volume from the second quarter 2013 acquisition of the polyester resin business from Bayer MaterialScience LLC. We believe that it’s important to note that if we exclude commodity buyer diesel surfactants and Phthalic Anhydride, which are part of the polymer’s group, sales volumes were up 2% versus the prior year. Since the deferred compensation is generally a non-operating item, which is driven by changes in our share price, we typically speak about net income excluding deferred compensation expense. Like normal, a detailed table outlining the financial effect the deferred compensation plan has been provided in the earnings release as Table No. 2 for your reference. First quarter net income excluding deferred compensation expense was $12.8 million versus $21.5 million in the prior year. Slide 4 of the investor presentation provides a bridge that captures the key changes in net income, excluding deferred compensation expense or income for the year. And since we’re explaining net income, the amounts in the bridge are after the effects of taxes, while typically the numbers referred to in our discussion will be before taxes. The first item in the bridge is the change in the tax rate. The first effective tax rate increased to 28% compared to 25% for the first quarter of 2013. First quarter 2013 was favorably impacted by a number of special one-time credits which did not recur in the current quarter. Specifically first quarter 2013 benefited from recognizing the retroactive impact of the U.S. research and development credit and other U.S. taxes. This was partially offset by the favorable impact of earning a greater percentage of our consolidated income outside the U.S. where tax rates remain generally lower than in the U.S. Looking ahead to 2014, we project our ongoing tax rate to be between 28% and 30%, which is consistent with what I mentioned in our February call. Severe weather negatively impacted the first quarter by at least $5.2 million or $3.2 million on an after tax basis. Weather impacted Stepan as well as customer and supplier locations and resulted in lost orders and increased costs for maintenance, energy, raw materials and freight. This impact was significant enough to call out but we only included items that could be directly associated with the weather mostly from the expense side. The actual impact is likely greater than we have shown here and we feel we were conservative in reporting that figure. The Canadian accelerated depreciation is associated with the restructuring action we detailed on last quarter’s conference call. We mentioned that in addition to the charge we booked in the fourth quarter, we would have an impact of approximately $900,000 of higher depreciation expense in the first quarter and second quarters of 2014. This was related to the reduction of the useful lives of the manufacturing assets in the impacted areas. This expense is recognized over the time that we continue to run the assets and as recognized in cost of sales as required by the accounting rules. The second quarter will be the final quarter for this item. The impact of surfactant volume and mix was negative $3.4 million and excludes the impact of weather and biodiesel sales. I will explain this item more in the gross profit section which will be coming up. We're showing the impact of commodity biodiesel business separately because of this significant reduction in sales dollars and volumes for the quarter. As a general practice we've filled excess reactor capacity with biodiesel volumes only when it is economically attractive. During the first quarter we chose not to participate in the biodiesel market. Anaheim California maintenance costs were mentioned in the last earnings call and we incurred those additional cost as expected in the first quarter. Net interest expense for the quarter was $3 million, which is an increase of $800,000 on a pre-tax basis versus last year. This is specifically due to the higher average debt levels resulting from the private placement at 3.86% that we did last year to fund the big acquisition. Our phthalic anhydride business experienced a 10% volume decline in the quarter and margins were pressured as well. When excluding phthalic anhydride and the acquisition our polyol business delivered earnings growth of 17% and earnings growth consistent with a typical expectation relative to their sales increase. The Columbus acquisition delivered $2.1 million a pre-tax incremental operating income which is on the run rate to deliver between the $6 million and $8 million that we previously communicated. Finally on the expense side, we reduced bonuses and variable compensation, consistent with these results which were below our expectations. So there is an overview of the company. Let’s go into some comments on the operating segments. First we’ll look at surfactants, our largest segment which accounts for about 70% of the company sales. Slide 5 maybe a useful reference for this discussion. Net sales of surfactants were $335.7 million for the quarter, a decrease of 1% versus the prior year. Surfactant volumes declined 6% for the quarter. Most of this decrease was attributable to the North America which experienced a 12% volume decline. Biodiesel volumes accounted for 7% for this North America decrease. As mentioned traditionally we fill the excess reactor capacity with biodiesel volumes. However we chose not to participate in that market in this quarter. The remaining 5% is primarily from U.S. consumer product volume declines due to adverse weather and lost business as a result of a customer plant closure. Conversely, volumes improved in our higher margin products such as enhanced oil recovery surfactants, industrial and institutional cleaning and general surfactants which is mostly our distributor customers. Internationally, recent capacity expansions in Brazil enabled a 13% volume growth and Singapore delivered volume growth as well. Surfactant gross profit declined $10.8 million or 21% versus the prior year. This is the reference to the point that I mentioned earlier. When we remove the impact of the biodiesel business and account for loss sales directly associated to one customer shutdown due to weather, gross profit dollars declined about $9 million more than would be expected at prior year margins. $5.2 million of this decline is directly attributable to the winter weather and the remainder is from the Canadian accelerated depreciation and a contractual lag in the timing of price increases passed along to a customer. So indifferently, there were no fundamental changes to gross profit margins in the quarter. Europe and Asia gross profit increased versus prior year and excluding a modest negative impact of foreign currency translation, Latin America gross profit also improved versus the prior quarter. Next is our polymer segment, which represents about 25% of our sales. Net sales totaled $1.9 million, an increase of 24% versus the prior quarter. Excluding the impact of acquisitions and the impact of the acquisition from Bayer, polymer sales increased 6% for the quarter. In volume terms, polymers increased 20%. Excluding the acquisition volumes grew 9%. North American polyols used in rigid foam installation grew 5% versus prior year driven by higher energy prices as well as recommended higher energy standards and consumer preferences towards higher performing installation. European polyols increased 29%, largely due to continued market growth in metal panels as well as coatings, adhesives, sealants and elastomers which we refer to as CASE applications. Commodity phallic and hydroid volumes in North America declined 10% due to lower regional market demand and increased competitive activity. Polymer gross profit increased 4% to $17.3 million for the quarter. The acquisition from Bayer contributed $2.1 million, while gross profit from other polyol products increased about $800,000. Conversely phthalic anhydride gross profit was down $2.2 million. Finally we look at our Specialty product segment which represents about 5% of our Company sales. Here net sales increased 10% to $22.6 million for the quarter. Specialty products gross profit increased 20% to $6.2 million for the quarter driven by higher conjugated linoleic acid and pharmaceutical volumes. Specialty sales volumes declined 9% for the quarter on lower food ingredient volumes. Now moving to the balance sheet, total debt was $270 million as of March 31st, which is in line with total debt as of the year end. Total debt was up $76 million versus the end of the first quarter 2013 driven by the $100 million private placement to fund the acquisition from Bayer. As of March 31st, inventories totaled $180 million, an increase of $8 million from March 31, 2013. The largest driver was inventories acquired along with the acquisition of about $9 million. We also report net debt which is total debt minus cash on hand. As shown in the earnings release, that ratio of net debt to capitalization as of the end of the quarter was 23.5% compared to 21.9% a year ago. Capital expenditures were $21 million for the quarter, consistent with the first quarter last year. Looking forward we expect full year 2014 capital expenditures to be within a range of $110 million including capacity expansions in strategically important areas. This range is slightly revised since the previous conference call. Regarding flows for the quarter, we used $9 million in cash from operations [Audio Gap] primarily due to an increase in working capital requirements, just typical for the quarter versus the use of $9.9 million year ago. So $9 million versus $9.9 million. In the past two press releases we’ve added some additional transparency on the major components of working capital. Net receivables, inventory and accounts payable all generally changed consistent with the increased volumes in our businesses. We have a small share repurchase program and for the quarter we purchased about 7,000 common shares in the open market for a total of $430,000. Before we open the call to questions Quinn will provide some perspective on Stepan’s forward-looking outlook.
F. Quinn Stepan, Jr.: Thanks, Scott. As we look to the full year 2014, the poor earnings during the first quarter war large due to the adverse winter weather and other issues which generally will not reoccur. In March and April our business seems back on track, however we will be challenged to make up the first quarter lower earnings from operations during the remainder of the year. We anticipate continue earnings growth from our 2013 acquisition from Bayer and the previous capacity expansions in Brazil, Europe and Singapore. Surfactant earnings should improve as the year progresses driven by greater agricultural sales, continued consumer product growth in Brazil, projected demand for enhanced oil recovery surfactants, as well as gains from operationally efficiencies. Enhanced oil recovery surfactants should deliver between $3 million and $5 million in additional operating income versus last year Polymer should continue to grow improving economies in the U.S. and Europe, as well as recent conversions of insulated metal panel and new case customers should contribute to full year organic earnings growth. The North American polyester resin business in Columbus, Georgia purchased from Bayer is now fully integrated and should deliver between $4 million and $6 million in incremental operating income or the $6 million to $8 million total that Scott referenced. We expect the loss in China to be less than last year. We continue to supply material for this growing market from other Stepan facilities in local tool manufactures. We anticipate signing an EPC contract to build our Chinese polyol plant in the next few months. Overall, we have a healthy balance sheet and we’ll continue to pursue in investments that will accelerate our growth. This concludes our prepared remarks; at this time we would like to turn the call over for questions. James please review the instructions for the question portion of today’s call.
Operator: (Operator Instructions) And our first question is from the line of Daniel Rizzo from Sidoti & Company. Please proceed.
Daniel Rizzo – Sidoti & Company: With enhanced oil recovery you said that was going to add up, I think you said $4 million to $6 million more on operating income, this year than last year…
F. Quinn Stepan, Jr.: $3 million to $5 million.
Daniel Rizzo – Sidoti & Company: $3 million to $5 million, I am sorry…
F. Quinn Stepan, Jr.: Yes. $3 million to $5 million versus last year.
Daniel Rizzo – Sidoti & Company: What was is it last year? I mean $3 million to $5 million more from what?
F. Quinn Stepan, Jr.: We will still generate a loss for the year in this activity.
Daniel Rizzo – Sidoti & Company: Okay. I just wanted to make sure I didn’t screw something up.
F. Quinn Stepan, Jr.: So we’re still making investments. We still believe in the -- the opportunity is big and significant. It’s potentially a paradigm shift over a period to time for the surfactant market. Having said it is still a commercial development project today and the priority is to get involved in field floods and to prove the technology.
Scott Beamer: Dan, to follow, if I may, just frame it in. When you look on our income statement, we’ve got an equity joint venture loss that’s on there and we report what that is in the Qs. No in addition we do have some sales that go through our typical sales line, which would net off and help offset that.
F. Quinn Stepan, Jr.: Yeah. Within the surfactant business, it’s improving surfactant operating income by $3 to $5 million for the year.
Scott Beamer: Yes.
Daniel Rizzo – Sidoti & Company: And then you know polymer sales are being – or polyester polyol sales are being driven by mandates. Is that still something that’s going in Europe in addition to other places right now that has been healthier for a number of years? Has that kind of petered out in that geographic region?
F. Quinn Stepan, Jr.: No, I would no. It is not and it’s government recommendations, not government -- its industry city recommendation in the United States in mandates in Europe and in the United States there’s a 2007 standard and 2010 standard which is slowly being adopted across the United States. So their process is continuing across the country. So we’re still anticipating getting benefit from those new standards over the next 2 to 3 years. In addition to that, there are new mandates or recommendations in Europe that continue to be adopted in countries there as well. So we anticipate that benefitting our business in Europe again at least over the next two to three years.
Daniel Rizzo – Sidoti & Company: Okay. So this could be a similar scenario where in the past when things are -- the macroeconomic situation kind of worsened that you still did okay because of these mandates and so this is something that can drive growth for a while for the foreseeable future?
F. Quinn Stepan, Jr.: Over the next two to three year period yes and again -- and what we’re talking about is sticker boards, if you will that have more insulation ability.
Daniel Rizzo – Sidoti & Company: Okay, and for commercial construction?
F. Quinn Stepan, Jr.: Flat to low sloping commercial construction.
Daniel Rizzo – Sidoti & Company: Okay. And then one quick question. Agricultural surfactants are going to help growth. Is that more of a second quarter and third quarter, just I guess in conjunction with the growing season or does it not really work like that, that it’s done in anticipation of growing seasonally afterwards as well the sales?
F. Quinn Stepan, Jr.: This year we got off to a little bit of a slow start in the Ag business primarily because of the weather but we’re anticipating the second and third quarter and fourth quarter will be pretty strong.
Daniel Rizzo – Sidoti & Company: But with weather aside, is there a seasonality to that business or is it just not really?
F. Quinn Stepan, Jr.: As our global agricultural business has grown, the seasonality of the business has become less pronounced. It used to be more tied to the growing season in the sense that the first and the fourth quarter of the years were generally fairly strong, but now because of the global nature of the business, it’s less pronounced across our business.
Scott Beamer: Yes, because the growing season is different is different in South America than it is in North America.
Operator: Our next question is from the line of Greg Halter, Great Lakes Review. Please proceed.
Greg Halter - Great Lakes Review: Just wanted to delve into the surfactant business, specifically in North America and the volumes in April and so forth. I know Quinn you mentioned that you’re certainly expecting much better results going forward. I just wanted to see if I could get some more information there relative to what your customers are seeing here in the U.S., what kind of volumes you may be expecting, and things of that nature maybe competitively as well?
F. Quinn Stepan, Jr.: At this point, I would say that March and April we're both -- seem to be both back to normal months in terms of regular consistent demand. I’ll tell you that the biodiesel market margins have not recovered and we were still not participating in the biodiesel market. But aside from that, I would say the demand from the marketplace is relatively again back on track. Scott did mention that we had a customer plant that shut down in 2013 in kind of the mid-year 2013. So versus last year that is our hurdle that we have to overcome in terms of the loss of that business. But with the exception of that I would say demand is back on track.
Greg Halter - Great Lakes Review: Okay. And looking at the enhanced oil and I guess the whole surfactant area, what impact is fracking having on your business there, both as a competitive threat I guess or also as an opportunity?
F. Quinn Stepan, Jr.: Quite frankly Greg, it is both of those. What we’re seeing today is some of the oil companies that we’re involved with our choosing to frac other oil wells or other properties in their portfolio versus currently funding some of the enhanced oil recovery for the surfactant polymer wash if you will of reservoir. So there is some competition that’s occurring. What we have seen is -- again, some of the projects that we’ve been involved in have been delayed. So we anticipate that that competition will continue over a period of time. We have had some interest in using our new surfactants which tend to be longer change, higher branching, a little more stable and harsh environments. Some people have chosen to trial those in the fracking marketplace. So I think that fracking remains a potential opportunity for us today but it is not a significant part of our current sales.
Greg Halter - Great Lakes Review: Okay. And I gather from reading your releases and your comments about mergers, acquisitions and so forth that you continue to be looking for things in that area. I just wondered if you could characterize your current efforts, what you may be seeing in pricing generally and what kind of appetite you have to do a deal.
F. Quinn Stepan, Jr.: Greg, if you look at traditionally what we’ve done is to make smaller bolt-on acquisitions that fit our existing kind of two bit – our two primary businesses. So I would anticipate that we would continue to look at those smaller acquisitions that may not fit with the larger companies’ portfolio. So generally speaking, the type of things we end up buying, the multiples are reasonable and fair. But overall in the chemical space, I think you do see multiples increasing today in the marketplace and we’ve got a portfolio of opportunities that we’re currently looking at. We would hope to again find other things that fit our strategic plan but again I think they tend to be smaller and more on the bolt-on type.
Operator: I will now turn the call back to management for their closing remarks.
F. Quinn Stepan, Jr.: I’d like to thank everyone for joining Scott and me on the call today as well as the entire Stepan team for their continued dedication to serving our customers worldwide and their valuable contributions that allow us to generate value for you, our shareholders. We look forward to reporting better results on our second quarter 2014 results call. Have a great day.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines. Thank you.